Operator: Good day, and welcome to Spire Inc.'s First Quarter Fiscal 2026 Earnings Conference Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Megan L. McPhail, Managing Director, Investor Relations. Please go ahead.
Megan L. McPhail: Good morning and welcome to Spire Inc.'s fiscal 2026 First Quarter Earnings Call. We issued an earnings news release this morning and you may access it on our website at spireenergy.com under Newsroom. There's a slide presentation that accompanies our webcast, which can be downloaded from our website. Before we begin, let me cover our safe harbor statement and use of non-GAAP earnings measures. Today's call, including responses to questions, may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although our forward-looking statements are based on reasonable assumptions, there are various uncertainties and risk factors that may cause future performance or results to be different from those anticipated. These risks and uncertainties are outlined in our quarterly and annual filings with the SEC. In our comments, we will be discussing performance and results of operations. Non-GAAP measures used by management when evaluating our explanations and reconciliations of these measures to their GAAP counterparts are contained in both our news release and slide presentation. On the call today is Scott Edward Doyle, President and CEO, and Adam W. Woodard, Executive Vice President and CFO. With that, I will turn the call over to Scott Edward Doyle. Scott?
Scott Edward Doyle: Good morning and thank you for joining us. As we begin our fiscal first quarter update, I want to recognize and appreciate the hard work of our employees across every part of our organization during winter storm Fern. The recent weather event was an opportunity for us to serve our customers when they needed us most, and I am very proud of how we responded. With extreme weather impacting all our service territories, our team collaborated closely, making sure homes and businesses stayed safe and warm. According to the American Gas Association, winter storm Fern led to some of the highest demand for natural gas in our nation's history. In fact, at the height of the storm, just our Spire utilities delivered natural gas equivalent to 31 gigawatts of electric generation capacity at a much lower cost to customers. Despite extreme conditions, natural gas once again distinguished itself, underscoring that direct use of natural gas remains the most reliable and affordable way to heat your home. This morning, we announced adjusted earnings of $1.77 per share, up from $1.34 per share a year ago. The strong year-over-year improvement reflects solid execution in our gas utility business, supported by new rates across all of the utilities. Our marketing and midstream segments also delivered meaningful contributions. Just as we have discussed on prior calls, cost management and customer affordability remain central to our strategy. We continue to pursue efficiencies while investing in system improvements and safety, ensuring we maintain the reliability our customers expect. On the regulatory front, we are executing on our goal to achieve constructive outcomes in all jurisdictions. New Missouri rates became effective in October, and in November, we filed a request for a $30.3 million revenue increase under the infrastructure system replacement surcharge, with rates expected to be effective no later than May. Spire Alabama and Spire Gulf rates under the rate stabilization equalization mechanism were updated in December, supporting our continued system investment. Looking ahead, we are reaffirming our 2026 adjusted EPS guidance of $5.25 to $5.45 per share, our 2027 adjusted EPS guidance of $5.65 to $5.85 per share, and our long-term 5% to 7% adjusted EPS growth target. These targets underscore our confidence in the strength of our portfolio and our disciplined approach to capital deployment. Our ten-year capital plan remains at $11.2 billion, with the majority targeted toward utility investments. Finally, we remain on track to close the acquisition of the Piedmont, Tennessee business in calendar quarter one 2026, a transaction that strengthens our regulated growth profile. We remain committed to delivering on our financial and operational goals as we execute our strategy to grow organically, invest in infrastructure, and drive continuous improvement. Turning now to Page five for an update on the Tennessee acquisition. We continue to make progress toward closing. The Hart-Scott-Rodino review is complete, and approval from the Tennessee Public Utility Commission remains pending. Our financing plan is aligned with maintaining our current credit ratings and includes a balanced mix of debt, equity, and hybrid securities. In November, we issued $900 million junior subordinated notes of Spire Inc. Following this, in December, we entered into a master note purchase agreement for $825 million of Spire Tennessee senior notes, which will fund at closing. We continue to expect minimal common equity needs. As we have discussed on previous earnings calls, evaluation of the potential sale of our natural gas storage assets is ongoing. The timeline for an announcement has extended beyond our initial expectation, reflecting our objective to achieve the right value for each of the assets. We are focused on simplifying our portfolio and expect to provide an update later this quarter ahead of the acquisition close. Operationally, our integration planning is well underway, supported by an eighteen-month transition services agreement designed to ensure seamless continuity for both customers and employees. Moving to page six. This quarter, we invested $230 million in capital expenditures, with the majority directed toward our gas utility operations, including system upgrades, infrastructure modernization, and new business connections. These investments are already delivering value, as reflected in the strong operational performance and reliability of the system through a quarter marked by weather swings from unseasonably warm to well below average temperatures. CapEx was lower year-over-year, driven by the near completion of the advanced meter upgrades in the St. Louis region and the wrap-up of our storage expansion project. We continue to expect 2026 CapEx of $800 million to $900 million, supported by our ten-year $11.2 billion capital plan. These investments directly support rate-based growth of roughly 7% in Missouri, 7.5% in Tennessee, and 6% regulated equity growth in Alabama and Gulf. This consistent and disciplined investment strategy underpins our confidence in achieving long-term 5% to 7% adjusted EPS growth. I'll now turn the call over to Adam W. Woodard for a financial review and update on guidance.
Adam W. Woodard: Thanks, Scott, and good morning, everyone. I'll begin with our quarterly results, which are detailed on Pages seven and eight of our presentation. For the first quarter, we reported adjusted earnings of $108 million or $1.77 per share, compared to $81 million or $1.34 per share a year ago. Breaking down earnings by business segment, Gas Utilities earned $104 million, up over 33%, or $26 million from last year, driven by the new rates in Missouri and higher margin under the RSE in Alabama. Benefits were partially offset by the lower Raleigh metric margin in both Missouri and Alabama, along with higher O&M, depreciation, and interest expense. Gas marketing earned $4.5 million, an increase of $2.3 million due to increased portfolio optimization opportunities. Midstream delivered earnings of $12.7 million, up almost $1 million from last year, driven by additional capacity at Spire Storage, partially offset by higher depreciation and interest expense. Finally, other corporate costs were an adjusted loss of $12.7 million, approximately $2 million higher than the prior year. This reflects higher corporate costs and slightly higher interest expense in the current year. Turning now to our growth outlook on Page nine. As Scott mentioned, we are reaffirming our 5% to 7% long-term adjusted EPS growth target, supported by strong rate base growth across Missouri and Tennessee, steady regulated equity growth in Alabama and Gulf, and our ten-year $11.2 billion CapEx plan. We remain committed to executing on our strategy and are affirming our 2026 adjusted earnings guidance range of $5.25 to $5.45 per share. As a reminder, this range excludes the results of the pending acquisition of the Piedmont, Tennessee business and includes a full year of earnings related to our natural gas storage facilities. We are also affirming our 2027 adjusted earnings guidance range of $5.65 to $5.85 per share, which reflects a full year of expected earnings contribution of the Piedmont, Tennessee business and excludes earnings from Spire Storage. The adjusted earnings range for corporate and other has been updated to a range of negative $40 million to negative $46 million, lowering the midpoint by $9 million to reflect the interest expense related to the incremental debt to redeem Spire Inc. Preferred stock. Fiscal 2026 preferred dividends impacting EPS are expected to be lower by $9 million. I would like to note that our merger of the STL and Mogas pipelines was completed on January 1, 2026. It will operate as the Spire Mogas pipeline. Moving now to Slide 10 for an update on our base business financing plan. Excluding Tennessee, we expect equity needs of $0 to $50 million per year and will continue to rely on long-term debt to support refinancing and capital requirements. Our recent base business financing activity includes $200 million of first mortgage bonds issued at Spire Missouri in October 2025 and $200 million of 6.38% junior subordinated notes issued in January 2026. We intend to use the proceeds from these JSNs along with other funds to redeem all outstanding shares of Spire Inc. Preferred stock. Our projected long-term debt issuances for 2026 have increased by $250 million, driven by the decision to redeem the preferred shares. As always, we remain focused on maintaining our balance sheet strength and flexibility. We continue to target FFO to debt of 15% to 16%. With that, let me turn it back over to you, Scott.
Scott Edward Doyle: Thanks, Adam. To close, our business priorities for the year remain consistent with our commentary over the past several quarters. Safely and reliably deliver natural gas service, execute our capital plan efficiently and recover capital in a timely manner, maintain a strong focus on customer affordability through disciplined cost management, achieve constructive regulatory outcomes, including preparing for a future year Missouri rate case, and successfully financing and closing the Tennessee acquisition while ensuring a seamless integration. Thank you for joining us today. We appreciate your continued support and we are now ready to take your questions.
Megan L. McPhail: Thank you.
Operator: The first question comes from Gabe Moreen with Mizuho. Please go ahead.
Gabe Moreen: Hey, good morning team. Maybe if I can start off in terms of some of the volatility we've seen here in gas markets in January. Scott, you mentioned how well the utilities performed operationally, but can you talk about maybe how marketing was positioned during the month and whether it might have been able to capture some of that volatility?
Scott Edward Doyle: Hey, Gabe. Good morning. I mean, we mentioned, I feel really good about how all of our systems performed across the enterprise during the month. It's a little early to describe them quantitatively at this time. But one thing we do know, we met all of our customer obligations. The market itself performed very well. Both from the supply side, but even just the way the markets work during those times. Everything was fluid and liquid during that time. So it felt good about how that event took place. So look forward to talking more about that on the quarter call.
Gabe Moreen: Got it, Scott. And I know you say you want to talk about things too much quantitatively, but can you also just talk about how utilities hedging strategy may have played out in terms of protecting customers from some of the volatility and whether you're satisfied with how that worked out as well.
Scott Edward Doyle: Yeah, simple answer is yes, satisfied. Strategy, particularly in As you know, on our utility purchasing both Missouri and Alabama. We have the ability to operate effectively our own AMA for the utilities and those performed as expected during this time. So our customers are protected and benefited from that activity.
Gabe Moreen: Great. That's all I have. Thanks, Scott.
Scott Edward Doyle: Thanks, Gabe. Thanks, Gabe.
Operator: The next question comes from David Arcaro with Morgan Stanley. Please go ahead.
David Arcaro: Hey, good morning. Thanks so much. I was wondering if you could give maybe a little bit more color on the storage asset sales process. But I guess any feedback that you got from the market on interest and appetite for those assets? Could you maybe lay out the timing and how that might line up? Like could this a full transaction get done before the close or kind of how what are the backup plans there?
Scott Edward Doyle: Yes, sure, David. Good morning. As we mentioned in our prepared remarks, the evaluation process has gone a little longer than we initially anticipated. What our focus remains, making sure we get the right value for each of the assets. Maybe just a comment about the assets themselves. Coming out of January, in particular, from an operational perspective, they performed very well, met all of our customer obligations, still have demand. For those services, for those assets. On a going forward basis. So feel good about that. Feel good about the process, how it's unfolding at this time, but just making sure we're spending the time looking at the opportunities that are in front of us and our focus continues to remain on prioritizing the utilities and simplifying our portfolio. As we go through this process. I'll let Adam maybe comment a little bit more on timing and from a financing standpoint.
Adam W. Woodard: Yes. Hey, David, it's Adam. We do expect to have make an announcement on this on the storage evaluation a little bit later this quarter. To your point, as far as whether something is transacted prior to the close of Tennessee. We do we do are are fully covered with the a bridge loan and if we needed to tap that for a short period of time that that we would be able to do that But we we know, we we we are committed to making announcement here later this quarter prior to the close of Tennessee.
David Arcaro: Yeah. Got it. Thanks. And just was it in response to was it harder to find interest or sell the assets together, or were valuation different from what you had expected going into that process?
Scott Edward Doyle: No. Yes, David, we've had very good interest in them. Again, these assets can be looked at in combination or they can be looked at separately And so what we're wanting to do is make sure that full process plays out.
David Arcaro: Got it. Okay. Thanks. That is helpful. Then maybe a separate topic. I was just wondering if you could touch on maybe more broadly economic development efforts. Are you seeing opportunities for large loads or large generation facilities coming into your service territories, anything on the larger side that boost growth in the the pipeline.
Scott Edward Doyle: Yes, sure, David. On the Particularly on large loads as it relates to the pipeline, the opportunity there for us is to serve generation needs either as they convert coal to gas or as new gas plants come online. We're active in talking to different parties, but don't have anything to announce We'll announce when the time is right.
David Arcaro: Okay. Great. Thank you so much.
Operator: The next question comes from Julien Dumoulin Smith with Jefferies. Please go ahead.
Bhak: Hi, Tim. This is Bhak on for Julien. Congrats on the solid quarter. Appreciate the color on the storage transaction and marketing segment. And maybe just a quick follow-up just how should we think about the timing for equity issuance related to the Tennessee acquisition?
Adam W. Woodard: Yeah. So, Bhak, maybe to walk through of where we're at, where we're we've come from and where we're at now and expectations around that. So, in November, raised $900 million of the JSN market and then followed that up with $825 million for the operating companies, Spire Tennessee operating company, that leaves, give or take, about $750 million to either raise or recycle through, you know, from a from potential sale of businesses. We're looking to get that announcement made on what that looks like. I you know, that would that would indicate something if if we weren't needing to to the equity market, that would be sometime after the the next call in in May or June.
Bhak: Understood. Appreciate the color.
Scott Edward Doyle: Thanks, Bhak.
Operator: The next question comes from Ross Fowler with Bank of America. Please go ahead.
Ross Fowler: Good morning, Scott. Good morning, Adam. How are you? Maybe taking a step back bigger picture question. Obviously, you know, we're on track to close Tennessee by the end of the first quarter. Or I mean, excuse me, we're on track to get a storage asset sale announced the end of the first quarter, you're moving to Tennessee close pending approval of Tennessee commission. So once we get through both of those things, how do you you know, you talked about prioritizing utilities, simplifying the business model, How do you think about your scale of the company post those two transactions? Should they be executed in completed? And how do you think about strategically how you would think about adding utility to that portfolio or other things you could take out of the portfolio? Just general thoughts around that.
Scott Edward Doyle: Yes. Thanks, Ross. Our primary focus right now is closing the transaction and integrating Tennessee and making sure that we have a seamless transition for our customers there. And so our plate is really full right now with regard to executing on that priority. And so that we want to keep that a priority. So at this time, that's that's what we're focused on is doing that. From a scale perspective, this has some benefit for customers ultimately because we'll be able to spread our shared services costs over a bigger base is what we'll do as well. So that scale benefit is a benefit for our customers and for the company as well. But that's what we're focused on right now is executing on our plan.
Ross Fowler: And then how do you you you mentioned the integration of Tennessee. Post close. How do you think about this probably system stuff you have to do, operational stuff you have to do. I mean, it's not contiguous, but you're still all that sort of back office stuff you have to do. You mentioned shared services. How do you think about the timeline of, you know, you know, on piece of paper, it never looks like a lot of work. I imagine it's a ton of work. How do you think about the the timeline of getting that accomplished and getting through that integration?
Scott Edward Doyle: Yeah. I know the the 100 plus people on our side, are working on that, really appreciate that comment, Ross, as to the amount of effort that's required as well. So a lot of work takes place post close as you know, we do have integration teams working very closely with Duke both on the separation of the assets, but also on the continual continued operation of them is we'll have transition services for a period of eighteen months. So our job will be to work to make sure that both for employees and customers as we transition those services and bring them under the Spire umbrella of serving them. That we do that in a way that is methodical, but also brings value to to the organization as well. And so when we do that, a lot of plans have been put in place and once we close, we'll be doing the really hard work of pulling this off. The good news is this is a company Spire is is a company that a long history of doing this and has a lot of well-developed muscles regarding this. So I feel very confident in our ability to to do this.
Ross Fowler: Alright. Thank you very much.
Scott Edward Doyle: Thanks, Ross.
Operator: The next question comes from Paul Fremont with Ladenburg. Please go ahead.
Paul Fremont: Thank you. Congratulations on a strong quarter. I guess my first question relates to storage. I guess in the past, you've expressed optimism of being able to complete the review with the sale. Do you still have that optimism at this point in time that that at the end of the month, you can achieve a sale or the end of the quarter, I mean?
Scott Edward Doyle: Yes, Paul, this is Scott, and good morning. Yes, we look, we've had strong interest in these assets. And as I've mentioned earlier, our desire at this time is to make sure that we're getting good value for both or each. And so that's what's causing the process perhaps go a little longer than we had anticipated initially. But feel good about where we are in the stage of process at this time.
Paul Fremont: Great. And then when I look at all the financing that you've done it it seems like you've been able achieve some very reasonable rates. And you've gone sort of beyond in terms of potentially achieving savings from the retirement of the preferred. Does that compare favorably to the assumptions that you put out when you gave guidance on the fourth quarter call?
Adam W. Woodard: Hey, Paul, it's Adam. It's a good question. I would I would say that we were contemplating the the redemption of the preferred in that guidance. So that's it's not additive to it. And I think so far in the acquisition financing, it's we're relatively close to what our our expectations were. Good question.
Paul Fremont: Great. Great. Thanks a lot. That's it for me.
Scott Edward Doyle: Thanks, Paul.
Operator: The next question comes from Bill Apicelli with UBS. Please go ahead.
Bill Apicelli: Hi, good morning.
Scott Edward Doyle: Good morning, Bill. Just a on the clarifying that preferred impact because you guys do show the corporate other sign line item getting impacted by about $9 million. But then there's a direct one to one offset, right, on the different the preferred dividend impact, which you you don't actually quantify in, you know, in the guidance, but looks like the so net net EPS is unchanged. Right? So even though the the cumulative you know, earnings, if you add the the buckets up, gets worse. But there's an offset that's not actually shown. Is that the way to think about That that's right, Bill.
Adam W. Woodard: Yeah. I think you're following it.
Bill Apicelli: Okay. And then can you just remind us on the the the rugged strategy or calendar from here, particularly as it relates to Missouri? You know, just as a you know, walk us through sort of the time line of of when the next case would be filed and new rates under the new under the new legislation?
Scott Edward Doyle: Yes. Hey, Bill. On the rate case timing, it'll the way we have it at least anticipated right now is we follow the pattern of our prior case, which is we'd file it fiscal year end, but before Thanksgiving. So look the October, November timeframe of this year, And then the timeframe of the rate case for prosecution would follow most likely the same amount of time it took for this last rate case. As we talked to a lot of folks, it's a case of first impression with being the first future test year that we would be filing. So we'd want to work through those details with the commission as we go through this process as well. But that's what we're looking forward to later this year and work is already underway in dialogue with commission staff and others as we prepare to file that the package under the under the conditions that they'd like for us to file it.
Bill Apicelli: Okay. That's very helpful. Thank you. That's it for me.
Scott Edward Doyle: Thank you, Bill.
Operator: This concludes the question and answer session. I would like to turn the conference back over to Megan L. McPhail for any closing remarks. Please go ahead.
Megan L. McPhail: Thank you for joining us on the call today. We look forward to seeing many of you at conferences in the coming weeks. Have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.